Operator: Thank you for joining us today for TOMI's Environmental Solutions Investor Update Conference Call. On today's call is TOMI's CEO and Chairman of the Board, Dr. Halden Shane, who will provide an overview of recent business highlights for the most recent quarter. TOMI's CFO, Nick Jennings will follow-up and discuss critical financial benchmarks before addressing any questions you may have.A telephone replay of today's call will be available through May 25, 2020, the details of which are included in the Company's press release of May 12, 2020. A webcast replay will also be available at TOMI's website, www.tomimist.com. Please note that information contained within this call is relevant only to the day of which it was recorded, May 18, 2020, and you are therefore advised the time sensitive information may no longer be accurate at the time of any replay. Certain written or oral statements made by management of TOMI may constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.Forward-looking statements are identified by such words and phrases as we expect, expected to, estimates, estimated, current outlook, we look forward to, would equate to, projects, projections, projected to be, anticipates, anticipated, we believe, could be, and other similar phrases. All statements addressing operating performance, events, or developments that the Company expects or anticipate will occur in the future, including statements relating to revenue growth, earnings, earnings-per-share growth, or similar projections, are forward-looking statements within the meaning of the Reform Act. They are forward-looking, and they should be evaluated in light of important risk factors that could cause our actual results to differ materially from our anticipated results. The information provided in this conference call is based upon the facts and circumstances known at this time. The Company undertakes no obligation to update these forward-looking statements after the date of this call.I will now proceed to get the call to TOMI's CEO and Chairman of the Board, Dr. Halden Shane.
Halden Shane: Thank you for taking the time away from your schedule to join us this afternoon. This is a unique experience given an earnings call with the mask. But first, I would like to give you my opening. Some of you are quarantined in place for good reasons, most are sheltering-in-place for other reasons. The Director of Los Angeles Department of Public Health has ordered $12.5 million Los Angelina to shelter-in-place until August. That's beyond my scientific comprehension.I guess I would feel better if she was a real doctor, an epidemiologist or infectious disease specialist, but a PhD in Social Welfare and a Bachelor of Arts and Community Studies. The salary of over $400,000, I just don't get it. Most of us are mature enough to follow real science guidelines like the 47 or 48 other states using mask, social distancing, frequent washing of hands, et cetera. Well, that is my opening.Now to the good news. Today, we will be reviewing TOMI's Environmental Solutions, Inc.'s first quarter 2020 financial results, along with noteworthy recent developments for the beginning of our fiscal year-to-date. This review will address the business update on all sectors and divisions, relevant financial and brief overview of ongoing developments and efforts here at TOMI and its SteraMist brand.Following my opening statements, our Chief Financial Officer, Nick Jennings will lead us into our first quarter 2020 financial results. After years of slow but steady growth, 2020 has been groundbreaking for TOMI's SteraMist throughout a wealth of areas in the wake of recent global events, recording breaking gross profits as well as improved operating results overshadow previous year's performance.As always our revenues attributed to a variety of sources such as recurring BIT solution orders, SteraMist equipment purchases and the growth of our TOMI Service Network, TSN and the added SteraMist divisional partners. As our service partners and customer base continues to grow exponentially, BIT solution sales continue to rise alongside painting an optimistic trend for future recurring sales.The coronavirus outbreak has catapults SteraMist into the forefront of disinfection decontamination technology, showcasing the potential of ionized Hydrogen Peroxide, iHP to domestic and international consumers across every industry. Thousands who have discovered the technology have inquired and many have purchased units in BIT solution, and those who have yet to adopt our technology are getting the opportunity to see it used on a global scale.Gratefully helping this effort is SteraMist official inclusion into the EPA’s List N for efficacy against SARS CoV-2 coronavirus and its amended Environmental Protection Agency emerging pathogen label will serve to advance these efforts along with references and validated studies from current users of our groundbreaking technology.In our current year-to-date, TOMI is witnessing widespread adoption of our technology into facility protocols who are learning the need for a new level of clean, and TOMI support is on call for assistance in the development of these protocols. Research within each of our divisions is ongoing as we continue to expand the applications of SteraMist into innovative new areas and industries with the need for exceptional disinfection and decontamination alongside high material compatibility.Last year, we saw the acceptance of two utility patent as well as registrations and pending trademarks illustrating TOMI's commitment to global compliance and expansion into a variety of industries. After the addition of two new use sites at the end of TOMI's 2019 fiscal year with three FDA 503B pharmacies facilities and Corteva Agriscience, the agricultural extension of DowDuPont, auto dealerships are now adopting SteraMist as a quick and non-corrosive solution to decontaminate vehicles. Many other wipes and chemicals are corrosive and will discolor and damage interior leather and components of vehicles.SteraMist allows auto dealership to quickly and safely disinfect vehicles for test drive and necessary maintenance without harming materials inside. Airport, aircraft, and FAA controlling towers have also become a frequent use sites for our iHP partners, both domestically and internationally ensuring short turnaround time to help resume scheduled flights, allowing both staff and passengers to return to a freshly disinfected environment.Other use sites within our sector, which has significantly grown, include Emergency Medical Services, EMS, fire and police stations, veterinarian, township, prison, hair salon, oil and gas industry, freestanding surgical centers, restaurants, sporting facilities, high-end retail shops, schools and daycare centers, car dealerships, construction companies, and food production facilities to name a few.TOMI continues to receive revenue from its sustained platinum clients, such as Pfizer, [indiscernible] Merck and a variety of research universities, department of health groups, government facilities, BSL-3 and BSL-4 labs and many healthcare facilities throughout the United States.So those new to the technology, SteraMist continues to lead the competition in a wide variety of areas, including overall area application and treatment speed, material compatibility versus health fallacy, and a pre-blended solution free of dyes, fragrances, bleach, chlorine, ammonia, and silver ions.Clorox is an old style and white chemical compared to our no-touch disinfectant technology. No wiping or rinsing is required after application as the only remaining byproduct is oxygen and humidity.SteraMist provides a high log inactivation of many harmful viruses, including the SARS CoV-2 coronavirus with a 3.5 second inactivation or kill and a 6-log greater kill on resistant pathogens, including deadly spores on contact. These traits position iHP to play a critical role during this pandemic and other pandemics that the world will be faced down the road through increased application potential, expanded validation and brand recognition.The TOMI Service Network, TSN merit specific attention as it has played a crucial role in bringing the power of SteraMist technology to communities throughout North America, who have both experienced verified cases of SARS CoV-2 and those who are proactively defending against the likelihood of infection.To reach afforded to TOMI's through its TSN has helped prevent untold amounts of contamination and deaths throughout the United States and the continued efforts by SteraMist service providers are helping to ensure this doesn't change. We are pleased to start the 2020 fiscal year with tremendous growth in revenue and increase in clientele.Total revenue for Q1 and three months ended March 30, 2020 shows a comparative growth of 463% over Q1 2019, heavily attributable to increased demand for SteraMist disinfection in the wake of the global pandemic. TOMI's hospital-healthcare and TSN sectors on our international division comprised a large portion of this revenue increase.Compared to the same prior year period, hospital-healthcare revenue increased approximately 6000% in the first quarter of 2020. During the emergence of the pandemic, many perspective facilities committed to purchase and eventually tuned into customers, continued growth in the division is expected moving forward into 2020 and the future.TOMI's Life Science sector exhibited moderate growth with an overall Q1 revenue of $883,000, marking a 2% increase over the same quarter in 2019, although extenuating circumstances surrounding the global SARS CoV-2 coronavirus pandemic alter the normal operations of many of our life science customers and potential new customers as university labs and other non-essential pharmaceutical life sciences were sheltering-in-place. TOMI assure that this sector will be back to expansion mode in the near future.TSN revenue and membership climbed in the first quarter of 2020 by 727% compared to the Q1 2019 period. This revenue is primarily a mixture of BIT solution orders and collective membership fees. And network growth in Q1 will reflect in reported revenue throughout the remainder of 2020 and onward through recurring sales. This is expected to continue and be assisted bias development of a full service customer experience team, which has grown threefold in the past month.In the three months ended March 31, 2020, the food safety sector entered or earned $32,000 continuing the trend of positive revenue growth in each of the divisions. This is an increase of a 100% when similarly compared to the first quarter of 2019. Our food safety and transport clients are expected to grow exponentially going forward.Although extenuating circumstances surrounding the global SARS CoV-2 virus pandemic altered the operations of our own iHP service division, a total revenue of $415,000 was still reported in the first quarter of 2020. Our service-based revenue for the three months ended March 31, 2020 indicated a strong year-over-year increase of 85%.This increase is primarily attributable to our higher training sales record in the first quarter to onboard our new customers. This revenue is expected to grow as we proceed further into 2020, and we implement refined customer experience workflows for clients new to the technology.TOMI's domestic revenue for the three months ended March 31, 2020 increased by 214% when compared to the first quarter of 2019, and our international revenue reflected 2,878% increase when compared to the same period.Product-based revenue also reflected a large 545% increase when compared to the same period prior year Q1 period. Compared to that same period, BIT solution sales brought in $973,000 from new and existing customers, indicating a 493% increase. Mobile unit sales also climbed with 190 surface units sold and 22 environment systems sold, representing a 16,027% and a 120% increase over the year prior respectively.Additionally, in the first quarter of 2020, TOMI's customer list grew significantly with the growth acting as a reply to the SARS CoV-2 outbreak. Globally 81 new customers were added across everyone at TOMI's division, signaling a 686% increase over Q1 of 2019. As a noteworthy addition, contributing to further BIT solution sales in 2020 is the implementation of a third custom engineered system built into a pharmaceutical company.Entering into 2020, TOMI remains dedicated to development and building of its brand along with generation of product interests in tandem with validated efficacy against the SARS-CoV-2 pathogen. Efforts are ongoing to spread awareness of the SteraMist brand with the continued focus on optimization and consistency.As development surrounding agencies such as the EPA and the FDA continue, we are committed to operating within established guidelines and labels to ensure that the speed, efficacy and versatility of SteraMist is properly and correctly conveyed to interested parties.These new developments have opened up avenues of marketing efficiency and created foothold for SteraMist marketing to spread into new venues and industries. Multimedia advertising, service provider engagement, involving brand image and accessibility of academic research surrounding SteraMist are reflected in our public-facing materials.Additionally with lockdown measures established worldwide, publication readership is no doubt driven upwards and disinfection technology is present on everyone's mind. These likely scenarios placed SteraMist in a unique position to gain interest, leads and growth created by this unique global situation as we strive to help fight the ongoing pandemic. We will utilize the moment we have been provided to carry TOMI's success well beyond these difficult times.In the first quarter of 2020, our presence in healthcare market has grown considerably, a record quarter with 17 new facilities added to our hospital healthcare division. This represents a 750% increase when compared to the prior year period. Many healthcare facilities have purchased SteraMist equipment for emergency preparedness. Some of the emergency preparedness clients include Multiple City Public Health Division and State Department of Public Safety.As a result of rising concerns and protective equipment availability in healthcare and life sciences, SteraMist has been prominently featured within academic studies by the University of Iowa that seek to evaluate the effects of iHP decontamination on N95 masks and its equivalent.This research has established that low percentage hydrogen peroxide that comprises both BIT solution and the iHP process does not hinder the efficiency of the mask. With many of our competitors utilizing high percentage hydrogen peroxide that comprise mask integrity, this research will not only provide relief for many in the medical field, it will also provide TOMI with the possibility of appealing to new customers facing the supply shortages difficulties going forward and into the foreseeable future.In the addition to that research to – University of Iowa, another study has been conducted in joint efforts by Dana-Farber Cancer Institute, the Brigham and Women's Hospital, Boston Children's Hospital, Harvard Medical School and Cedars-Sinai Hospital Medical Center in Los Angeles.The Harvard Medical School and MIT study sought to test the effects of SteraMist application on N95 masks and examine any possible changes in areas such as filtration, efficiency and quantitative fit testing. Results indicate that iHP produces a 6 to 9-log reduction of Geobacillus stearothermophilus without conversely affecting mask fit or damaging the static charge on the mask or diminishing the filtration efficiency, making SteraMist a premium option to decontaminate masks for reuse over all of our competitors. Estimate show that 4,800 to 7,200 masks can be decontaminated in a single shift.Pending upcoming FDA approvals, SteraMist will become more widely used as a method of disinfecting masks and other personal protective equipment, which should increase product attractiveness to many different facilities that we believe will commit and purchase our product and solution. The SHIELD study in ongoing healthcare research efforts spanning two years, we'll be welcoming another participant in the next quarter of 2020.University of Michigan, a recognized teaching hospital will be joining, participating, California hospitals in providing further comparative information regarding the usage of SteraMist against manual cleaning methods. Preliminary results have indicated showing a decrease in pathogen transference that often results in hospital-acquired infections and C difficile outbreak.For three months ended March 31, TOMI's Life Science sector showed considerable growth with 18 new customers in the sector, a 500% increase compared to the same period. BIT solution revenue for the period increased by 93% when compared to the first quarter of 2019.TOMI's SteraMist expanded and continues to develop our federal government partnerships with several new agencies onboarding the technology during the recent pandemic to help make spaces safer for personnel. The federal government continues to see the expanded benefits of using a non-hazardous low percentage Hydrogen Peroxide solution, which doesn't corrode facilities, leave behind a residue or off gas caustic orders harmful to personal to use.SteraMist is being used in six National Institute of Health, NIH facilities, TOMI has also added companies, such as Gilead Pharmaceuticals, KC Pharmaceuticals and Alexion to its list of life science customers. One such protocol for implementation is the uses of SteraMist to decontaminate raw materials on the dock before bringing them into the facility prevent possible SARS CoV-2 transmission.2019 customers such as Nephron Pharmaceuticals as they added additional SteraMist units to their decontamination protocol, and expanding research and development partnership with safety cabinet manufacturer has resulted in a custom-built decontamination solution, now being field tested at a federal government site for youth with xenobiotics research project. The solution allows for products to be automatically and more effectively disinfected in less than 10 minutes without damaging any materials or research in highly sterile environment involving germ-free research.TOMI's iHP service maintains a strong presence in life science division. It functions as a means to provide our customers with a scheduled disinfection and decontamination solution, further adding to the scalability of our product and service offerings, whether a facility requires additional units in the event of emergency, or if they have purchased a machine and still require a one-time recurring SteraMist treatment, iHP service exists to serve a wide variety of needs.Current iHP service corporate jobs have been scheduled for the current quarter with additional facility locations in line, such as Axon for New Jersey and Illinois in comparison to 2019 when only the New Jersey facility used iHP service. However, restrictions and visitation and traveling have placed a majority of our iHP corporate service operations in a temporary status to comply with the established state government guidelines. Once the restrictions have been lifted, iHP services poised, supplied, and ready to deploy at a moments noticed to be the first on the scene.For those on the call who may be unfamiliar with our third division, the TOMI Service Network or TSN, it's a growing service network of professionals, exclusively licensed and trained and the knowledge and use of SteraMist products. TSN products are trained professional, third-party remediation companies in the use of SteraMist products and iHP technology.Many TSN providers bring a wealth of diverse industry specializations, such as mold, water loss, fire, and smoke remediation and forensic restoration. Members may choose to center their service offerings exclusively around SteraMist or they mostly utilized SteraMist technology by including it within their pre-existing business models. Members are also given the ability to partner with other local members of the network for more sizeable jobs, should the client require additional efforts.TSN providers also partnered with our iHP service corporate division, providing revenue to the TOMI division, its members and allowing for ease of deployment and availability. Members of this network are generously spread throughout North America in 40 states and multiple Canadian provinces. In fact, a SteraMist provider is now within a three to four-hour drive to any population center in 48 states, and TOMI expects to have a provider based in every state very soon.These members may make SteraMist readily available within their communities and surrounding areas at a moments noticed to address routine disinfection and decontamination services, as well as natural disaster remediation or in the most recent case, unexpected viral pandemics.During the first quarter, TOMI removed the regional exclusivity of the TSN members in response to the growing need of SteraMist technology during the pandemic. This will allow the network to grow exponentially and give service providers the ability to operate more freely throughout the U.S. and Canada.In recent months, business services to those in the restoration industry showed a decline. However, SteraMist has allowed many of our providers in the restoration industry a steady stream of income. One provider reported $250,000 of SteraMist disinfection income has been done since March.In the three months ended March 31, 2020, the TOMI Service Network sector added 37 new service providers to our growing family. Food safety is our youngest division. And TOMI focuses on a market containing the disinfection of facilities used by food processing, storage and transportation. This division will be a lucrative one, full of unrealized potential.Food manufacturing has been increasingly regulated to require higher standards, much like the pharmaceutical sector, giving TOMI the opportunity to provide protocol, structure, and products to help companies meet increased scrutiny by regulators and consumers. TOMI continues ongoing research surrounding the creation of a 1% hydrogen peroxide solution, which would increase SteraMist viability and food production industry.Direct application onto food products and seed require EPA and FDA registration, though, we remain fully approved for use in food processing, restaurants, warehouse and packing facilities. TOMI remains dedicated to working alongside Arkema to research optimal dilution ratios that will give us the ability to create a 1% aseptic rate solution.This new lower percentage mixture will be suitable for direct application of SteraMist onto food, plants, seeds, and exceptionally sensitive food preparation areas. Once this mixture is achieved, TOMI is poised to become the global solution for growing food safety concerns.TOMI's focus on seed application has led to a cooperative effort alongside one of the largest global agricultural seed distributors. Research is ongoing to validate SteraMist's efficiency against common viral, fungal, and bacterial threats to various seeds. In the events of successful testing, we intend to proceed in the pursuit of opportunities within the seed development industry.To further validate SteraMist efficacy when applied directly to produce, the United States Department of Agriculture, USDA has submitted a publication that has been accepted for publication called, Cold Plasma Enhances the Efficacy of Ionized Hydrogen Peroxide in reducing populations of salmonella, listeria on grape tomatoes, apple, cantaloupe, and romaine lettuce. This paper discussed the dire need of the technology to enhance microbial safety of fresh produce through disinfection.5-log reductions and greater salmonella resulted after seconds of treatment, positioning SteraMist as a perfect solution for the task. The increased use expansion availability of SteraMist in Europe, Asia, and the Middle East during Q1 of 2020 has dramatically increased international revenue and increased the presence of the SteraMist brand when compared to the first quarter of 2019.SteraMist products, BIT solution and training are some of the items that comprise the entirety of the revenue increase and contribute to this growth. With SARS CoV-2 outbreak, TOMI diligently supplied their Asian partners with equipment and BIT solution. As the virus continued to spread, TOMI was able to handle the supply demands of our international partners. In addition, TOMI added multiple clients in the UK, United Kingdom expanding our reach throughout the area.Israel having purchased over 60 additional units this quarter, Israel-based CleanCore and existing customer onboarded last year, a company specializing in water, fire damage remediation and industrial cleaning CleanCore acts as TOMI's Israelian SteraMist distributor and service provider.As previously reported, CleanCore has already diversified, created a subsidiary Clean-Bit Environmental Solutions. Clean-Bit has been approved by the FDA, registered with the Israel Ministry of Health and have made immense progress in bringing SteraMist to a vast array of industries throughout the region.Further their organizations to improve business team has assisted in providing valuable and cost-effective material to assist in the awareness of SteraMist brand, Clean-Bit Environmental Solutions has recently started a subsidiary in Thailand with one of TOMI's international partners.Germany, EU Aviation, TOMI has now welcomed Shield Aviation into our customer lineup as a German-based airline cleaner and disinfection service. Shield Aviation has expanded into multiple territories and has been given the opportunity to utilize SteraMist decontamination services within aircraft both large and small, including a Boeing 77 airliner, Dornier 328 luxury transport and Airbus AS350 helicopters. Shield Aviation is active throughout the EU.Portugal, TOMI is entering into a partnership using SteraMist with a privately owned Portugal-based company that specializes in worldwide distribution of hemostasis, autoimmunity, acute care and in-vitro diagnostics.Indonesia, we've added a new Indonesia distributor, [indiscernible] our first order has been placed shipped to PT Harsen Pharmaceuticals. They're one of the largest pharmaceutical factories in Jakarta, producing injectable, hard capsule, soft tissue capsules, tablets, film coated tablets, syrup, dry syrup, eye and eardrops. TOMI is in the process of training and onboarding them.One, the laundry solutions, the Sierra LLC based out of Guam is a leader in the hospitality industry, exhibiting versatility and expertise in a broad range of projects and services. It offers two hotels, hospitals and federal establishments on the Island of Guam.Laundry solutions has always considered their honor and privilege to cater to do the laundry needs of the U.S. Navy, USS Frank Cable, a submarine tender and the USS Theodore Roosevelt, the nuclear powered submarine carrier. The surge of the COVID cases inside the USS Theodore Roosevelt aircraft carrier resulted in a quarantine of more than 4,000 sailors onboard two different hotels on Guam.The completion of the hotel quarantine and post checkout of the say – U.S. sailors called for decontamination of many hotels on Guam. The laundry solutions launched a massive scale decontamination service to several hotels, on the Island with SteraMist with hotels looking to reopen to the public and resume operations early. They've already successfully treated the Western, the Hyatt and the Hilton, including all their guests, rooms, suites, hallways, lobbies and other areas.Singapore Healthcare, TOMI entered into agreement with L3M International PTE. LTD. L3M is a distributor for the Singapore healthcare industry, Singapore Minister of Education and the Education Sector in Singapore. L3M has placed their first order. Through a board member of L3M, the group has the availability to connect to over 2,000 physicians in that marketplace. Dr. Leslie Leong has already placed an order.Singapore Defense, Victory Knights Management and Consultancy Services, Pte, VKMCS, a Singapore registered company is distributing, supplying, manage and provide local support to Defense and Homeland Security sector. VKMCS is a company-owned and run by formal naval chief engineers, technologists and logistician and international business developers.Hong Kong, Dr. Benny Cheng is leading the efforts in Hong Kong at SteraMist Asia. They have already sold units and solution to Link Services and SHK real estate. The hospital authority of Hong Kong, Dr. Cheng of Queen Mary Hospital had recommended SteraMist purchase of AJ in early March. This infection tests and Influenza A, H1N1, it not related on the N95 mask was successful in the findings have been reported from the Hong Kong authority in an article that was published in infectious control journal.RV Technology is working and in the final stages of the development of a robot for indoor area disinfection in order to maintain environmental hygiene and cleaning staff's exposure to viruses and germs. This robot shall be able to perform both manual and automatic remote control for indoor disinfection, spraying of disinfectants are disinfected.In office environments, sports complex and quarantine areas. This robotic system has been designed, developed, constructed, tested, and soon to be commissioned with appropriate types of iHP operation and battery driven chassis with processing units including hospital avoidance, navigation and indoor positioning.Philippines, SteraMist Asia and PLDT Limited performed high level decontamination services for the research institute for tropical medicine in Muntinlupa City and the National Kidney and Transplant Institute in Quezon City. SteraMist is also recently ordered SteraMist Asia, nine new units this year.South Africa e-health group infection control and subsidiary specialized in advanced medicine technology, infection control and prevention solutions and environmental cleaning with a strong focus on Southern Africa and Kenya through eHealth Group extensive experience in healthcare and environmental cleaning services.eHealth is offering includes and not limited to the sales distribution, marketing, training, and [indiscernible] project management of services using TOMI Environmental products and services. TOMI is in discussion with companies and governments in over 50 additional countries throughout Africa, Europe, South America, Central America, Mexico, Russia, Southeast Asia, Asia, and New Zealand. And continued anticipation of their SteraMist expansion, our long-term partners in Italy, AM instruments, Spain, Telstar, South Korea, GD Science, Chile, bacteria free have bolstered their sales and service departments.A brief overview of continual R&D and intellectual properties with SteraMist product universally powered by BIT, we are able to innovate around a powerful platform. Essentially, we're constantly seeking ways to evolve the user experience and method of iHP delivery to better streamline treatment regardless of the industry using it.SteraMist products that were previously touched upon in the past quarter earnings update include the SteraMist's defection car, the hospital SteraMist car have proven themselves to be very popular additions, especially response to the SARS CoV-2 in recent months.These innovations also includes the SteraMist select surface unit, the food safety and inspection, service, FSIS, a public health regulatory agency of the USDA protects consumers by ensuring the meat, poultry and egg products are safe. FSIS has three laboratories located in Georgia, Missouri and California. Each of these labs analyzed meat, poultry and egg products in each of these labs now own a select surface units to disinfect areas as precaution against COVID-19.In order to meet the worldwide demand, we've added additional manufacturing, the Australia marketplace, which will enable our products to efficiently be delivered to Asia and Southeast Asia customers and then negotiating with a major domestic manufacturer to expand product disinfecting locally.TOMI has increased in-house staffing to include a dynamic engineering and quality control department dedicated to analyzing product efficiency and finding new ways to further enhance our offering across the board. The development is accompanied by the ongoing testing of starting the system operating via DC voltage.This unit will allow for improved compliance with regional standards for electrical systems and equipment as well as streamlining product manufacturing upon completion of the testing, we anticipate making the unit available both domestically and internationally. We also anticipate the completion and production of our backpack in late 2020 or early 2021.Robotics, as I mentioned early, I expect by the end of this year we'll have a fully operational disinfecting robot. We've already received an order for this device. If we'll remove the physical operator from the area, that is being disinfected or decontaminated.In 2019, a leader produced post-harvest, storage and processes tasks. TOMI with the creation development of solution to treat a large warehouse utilizing SteraMist treatment was further complicated with the pressed equip of maneuvering around stack produce crates.The scenario requires a solution that proves significant, verticality to our existing SteraMist application methods in response, concept design, and realization continue to be underway for this new product to meet their specific needs. This concept will be effective and an answer for current needs and become a new product offering to provide even further facility implementation possibilities for our SteraMist technology in large industrial areas.Usability studies will be underway in early 2021 to have a fully functional robot to treat food storage facilities during off hours when all personnel has been removed from the facility.I will now thankfully turn the call over to TOMI's Chief Financial Officer, Nick Jennings, who I asked to leave because he is removing his mask. But thank you.
Nick Jennings: Thank you, Dr. Shane. I'll provide a brief overview of our financial results for the first quarter of 2020 compared to the prior year period. For the three months ended March 31, 2020 compared to March 31, 2019, total net revenue was $7,053,000 compared to $1,253,000, representing an increase of $5,800,000, or 463%.The increase in revenue was attributable to increase global demand for disinfection in infectious disease control products in response to the SARS CoV-2 coronavirus global pandemic. In the first quarter, we saw significant demand for our product from hospital-healthcare and TSN as a result of the pandemic. Entering into Q1, we were fortunate to have sufficient inventory levels on hand to meet customer demand.To provide a further breakdown of revenue, SteraMist product-based revenue was $6,638,000 and $1,029,000, representing an increase of $5,609,000 or 545%. Service-based revenue was approximately $415,000 and $224,000, representing a year-over-year increase of 85%. Domestic revenue was $3,569,000 and $1,136,000, an increase of $2,433,000, or 214%.International revenue was approximately $3,484,000 and $117,000, representing an increase of $3,367,000 or 2,878%. Gross margins were 63.6% compared to 60.6%. The higher gross profit was attributable to product mix and sales. Income from operations was $2,659,000, compared to a loss from operations of $868,000, representing an increase of $3,527,000. The increase in our operating income relates to higher revenue and gross profit offset by increased operating costs.Net income was $2,619,000, or $0.02 on a per share basis compared to a net loss of $935,000, or $0.01 on a per share basis, representing an increase of $3,554,000. EBITDA was $2,831,000 compared to an adjusted net loss of $691,000. For additional information on calculation of EBITDA and the reconciliation to our GAAP net income, please refer to our press release, dated May 18 for additional details.Cash provided from operations was $3,316,000, compared to cash used in operations of $649,000.Next, I'd like to go through some of the key items on our balance sheet. As of March 31, 2020 and December 31, 2019, cash and cash equivalents of approximately $3,756,000 and $897,000, representing an increase of $2,859,000. Working capital was $6,365,000 and negative $1,266,000, representing an increase of $7,631,000. Conversion of $4.5 million in convertible notes into 8,333,000 common shares. Shareholder equity was $8,324,000 and $890,000, representing an increase of $7,434,000.Our cash and liquidity position improved in the first quarter due to higher revenue and gross profit and the restructuring of customer payment terms where we began requiring deposits and prepayments on our equipment and solution orders. This was offset by the repayment of convertible notes in cash of $500,000 and vendor deposits of approximately $1,267,000. Our Q1 income and the conversion of the convertible notes provided a nice boost to our working capital and shareholder equity.Looking forward, we are excited to add more employees, expand production capacity, and continue our fight to make the world a safer place.Now I'll turn the call back over to Dr. Shane.
Halden Shane: Thank you, Nick. Not that I have a crystal ball, but I think when we look back into 2020 we'll see the infectious disease protocols have changed forever over this COVID-19 pandemic. Many of us who and who did not know what virtual meant before over the last three months, I'm sure I truly understand it as it has become part of our daily lives as a result of COVID-19 pandemic.I think the people that said never to virtual will now understand that the world has been transformed overnight. For example, the delivery of healthcare has been changed forever. Already as this pandemic was a turning point in the house, our citizens interact with healthcare systems i.e. virtual doctors. Transformation has also occurred in the cleaning industry. Infectious disease protocols in the world will never go back to the old way of doing things. Manual cleaning for the most part will be a method of the past except for those growth visual materials, which, of course, will needs to be removed. Mechanical clean is here to stay forever.I remember during the last Ebola outbreak, SteraMist played a significant role in West Africa. We won a large grant from USA, CDC and Office of the President. After this infected in many hospitals and facilities in West Africa, we came home to a new norm of what should have been a new norm, pandemic preparedness.Fortunately for America, Africa did a good job, quickly was able to contain Ebola outbreak to West Africa. Thank God for that because of the country, we were not prepared. Imagine what the world would look like with a 90-plus percentage fatality rate. Post Ebola, there was to be significant dollars available which were to be put aside for preparedness kits. Many hospitals did purchase our SteraMist Surface Unit for that purpose and we are better prepared for this current pandemic.I think now a strong message has been sent to all industries that we have to be prepared and need to have a plan in place as COVID-19 is the biggest challenge we have ever faced and a good disinfection plan with no-touch technology disinfection must be part of it.When this pandemic has concluded and after the various waves of SARS CoV-2 that we may or may not experience, there will be a line item on all industries, governments and verticals, budgets for disinfection and decontamination equipment, manual cleaning which did not do such a great job in the past should be replaced with mechanical and no-touch cleaning. While the pandemic has opened doors in many instances and the demand for and usage of SteraMist has caused explosive growth opportunities.Post pandemic will also be greatly increased due to the awareness by both the private and public sectors and the need to proactively take steps and include in everyday operational protocols disinfection and decontamination measures. This need will not go away if the viruses neutralized and TOMI is well positioned to capitalize on the new found awareness as a proven premiere product.New infectious disease and pandemic protocols are being put into place and SteraMist is in the forefront of many of these discussions, including verticals like education or airlines, defense industries, not just short-term bursts of business, but the predecessor to ongoing opportunities. At the moment my financial guidance is robust, TOMI has already in the second quarter of 2020, which is at the halfway mark, six weeks into the corner has surpassed all of our last quarter revenue.All of our last year's total revenue, potential revenue as of the end of last week was $5,414,000 of invoice and shift and $3,392,000 of open orders, which is approximately $8,806,000. To phrase it in another way, in just six weeks, TOMI has booked revenues greater than any of our previous 12 months total revenues. This is after our amazing first quarter results.As far as TOMI being able to continue and expand the level of performance without additional manufacturer with our additional manufacturer, I will be reporting those metrics going forward in our new fiscal year. At the moment, I will leave that discussion to the day traders’ platform.At this time, I am very encouraged and look forward to a continued strong growth for the year and we'll be sharing insights with you about our strategy and opportunities in our financial analysts meeting towards the end of the year.TOMI continues to leverage our capabilities to meet the needs of our healthcare providers and first responders the forefront of this pandemic. I would like to thank the first responders and their families who've risked much, including unfortunate ones that have lost their lives to stop the spread of this virus and to help those whom have fallen ill.Being deemed an essential service along with our vendors, during this time, I want to thank all of our TOMI family for sacrificing so much, allowing our small-sized company to deliver such a mammoth punch in assisting and making a true difference in disinfecting and decontaminating around the world. I am humbled. TOMI strives and will always strive to innovate for a safer world.Unfortunately, we planned on taking questions. This went so long as this was a great Q for us. Please, anyone that has questions, and I see many of you in the queue, please send them to me at doc@tomimist.com and I will answer them.
Halden Shane: And I thank you all for listening today. The call is now terminated.
Operator: Ladies and gentlemen, that will conclude today's conference. We thank you for your participation. You may disconnect at this time and have a great day.